Operator: Good afternoon. My name is Brian, and I will be your conference operator today. At this time I would like to welcome everyone to the Potlatch Third Quarter 2014 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Jerry Richards, Vice President and Chief Financial Officer, for opening remarks. Sir, you may proceed.
Jerry Richards: Thank you, Brian. Welcome to Potlatch's investor call and webcast covering our third quarter 2014 earnings and our pending purchase of Alabama and Mississippi timberlands. With me in the room are Mike Covey, Chairman and Chief Executive Officer, and Eric Cremers, President and Chief Operating Officer. This call will contain forward-looking statements. Please review the warning statements in our press release on the presentation slide and in our filings with the SEC concerning risks associated with these forward-looking statements. Also please note that segment information as well as a reconciliation of non-GAAP measures can be found in the website www.potlatchcorp.com as part of the webcast for this call. I will now turn the call over to Mike to discuss the acquisition, and then I will review our third quarter results in detail.
Mike Covey: Thank you. Good afternoon everyone. We announced earlier today that we have signed an agreement to purchase approximately 201,000 acres of timberland in Alabama and Mississippi from affiliates of RMS for $384 million or approximately $1,900 per acre. This property has been managed intensively by RMS, a timberland investment management organization since 2006, and prior to that, by International Paper. The transaction is structured as an asset purchase, it is subject to customary closing conditions, and is expected to close during the fourth quarter. The purchase will be financed with approximately $310 million of long-term variable and fixed-rate loans from the farm [ph] credit bank system. We plan to use approximately $75 million of cash for the remainder. As we've stated for some time, growing the company profitably is our top priority. The Alabama and Mississippi timberland will be a great addition to our southern portfolio and fairly simple to integrate. Both properties have supply agreements in place, with sawmills and pulp and paper facilities for a portion of the harvest volume. Moreover, the timberlands are located in wood baskets with strong and growing demand for saw logs and pulpwood. We also have above-average stocking levels and productivity that exceeds that of our current timberland in Arkansas. We continue to believe that the South will be the go-to region for incremental lumber production as housing starts continue to recover to a long-term trend level. We expect the South to benefit disproportionately as southern saw log prices recover to pre-recession levels over the next few years. This acquisition also provides Potlatch a base for which to grow in two new states. Following this acquisition, smaller bolt-on opportunities in Alabama and Mississippi will now make sense given that we will have critical mass in both states. We expect the acquisition to be immediately cash accretive to funds available for distribution, and further enhance our ability to increase our dividend from its current level of $1.40 per share. As discussed on last quarter's call, we continue to generate cash well in excess of our dividend and capital needs, even after stripping out one-time real estate transactions that we executed earlier this year. As noted before, we plan to discuss the dividend with our Board early in December. During our fourth quarter earnings call in January 2015, we will provide specific guidance on harvest levels, mix and pricing for the southern region. In short, the Alabama and Mississippi timberlands are a great fit for us and we are very excited to have these properties to our portfolio. I'll now turn it back over to Jerry to discuss the quarterly results, and then we'll take questions.
Jerry Richards: Thanks, Mike. Beginning with Page 7 of the slide accompanying this call, our third quarter net income was $33.2 or $0.81 per diluted share. This is up compared to the prior quarter when we reported net income of $16.3 million or $0.40 per diluted share. I'll now review the results of our operating segments. The results of our resource segment are displayed on pages 8 through 10. Operating income for the segment was $34.1 million, compared to $10.8 million last quarter. The third quarter is consistently the highest earnings quarter for results because drier summer weather typically results in more operating days and higher harvest volumes. Northern region saw log prices improved 6% sequentially due to mix and slightly higher lumber prices. The price for approximately two-thirds of our saw logs were indexed to lumber prices on a one to three-month lag. Pulpwood prices in the northern region improved 4% quarter over quarter based on stronger demand. Saw log and pulpwood harvest volumes in the northern region increased considerably in the third quarter due to the seasonal factors already discussed. Moving to the South on Page 10. Saw log prices increased 16% from the second quarter due to a greater mix of higher-priced hardwood saw logs in the sales mix and very strong hardwood saw log prices. Prices for our primary product in the region, pine saw logs, were up slightly due to a higher mix of plywood logs in the quarter. However, pine saw log prices remained flat for comparable products. Southern region pulpwood prices improved slightly from the prior quarter due largely to a higher mix of hardwood pulpwood. Saw log and pulpwood harvest volumes in the region increased seasonally. As discussed on last quarter's call, we plan to increase our harvest of hardwood saw logs in the third quarter to take advantage of robust demand and elevated prices. Our efforts to increase the harvest of hardwood saw logs were hampered by wet weather. The results of our wood products segment are displayed on pages 11 and 12. Operating income for the quarter was $15.8 million, compared to $14.9 million last quarter. Slightly higher average lumber prices more than offset a 2% decline in lumber shipments. Second quarter lumber shipments were higher than production in the quarter because we successfully worked off the excess inventory that we held at the end of the first quarter as a result of weather-related transportation challenges. The results of our real estate segment are covered on Page 13. Operating income for the quarter was $4.6 million, compared to $12.4 million in the second quarter. As we reported in last quarter's call, we closed the sale of 9,400 acres of recreational land in Minnesota to a conservation entity for $10 million in the second quarter. There were no similarly-sized transactions in the third quarter. Our income tax provision declined sequentially due to lower taxable REIT subsidiary earnings compared to the second quarter. Our consolidated effective tax rate for the quarter was 16%. We still expect that the full-year consolidated effective tax rate will be slightly above 20%. Moving to Page 14, our balance sheet remains solid. Cash and short-term investments were $73 million at the end of the quarter. Including non-core investments on our balance sheet, total liquid assets exceeded $100 million as of the end of the quarter. As Mike mentioned, we expect to use $75 million of cash in connection with the acquisition. Our $250 million revolver remains undrawn and we have no debt maturing until the fourth quarter of 2015. Information about the long-term debt that we plan to issue in connection with the acquisition of the Alabama and Mississippi timberlands is presented on Page 15. We expect that mix of variable and fixed-rate debt with an initial weighted average cost of approximately 3%. On a pro forma basis, we expect that our net debt to enterprise value would increase to approximately 27% after closing the transaction based on our market cap at the end of the third quarter. Capital spending was $8 million in the quarter. We expect to spend slightly under $28 million on capital projects this year excluding acquisitions. Now I would like to comment on our outlook for the fourth quarter of 2014. We estimate that total harvests for 2014 will be approximately 3.7 million tons. Incremental volume from the new acquisition is expected to offset a shortfall relative to our harvest plan in Arkansas. We anticipate northern saw log prices decreasing modestly in the fourth quarter due to seasonal factors. We expect the average price that we'll realize for southern saw logs in the fourth quarter to decline due primarily to a change in the mix of hardwood species harvested and a lower mix of prime plywood logs. We expect EBITDA contributed by the new timberlands to approximate interest cost on the new debt in the fourth quarter. Our southern timber depletion rates will increase significantly as a result of pooling merchantable timber in Alabama, Arkansas and Mississippi together for purposes of calculating depletion rates. We estimate that incremental depletion expense, including the effect of prior depletion rates on our Arkansas harvest after closing the transaction will be approximately $1.5 million in the fourth quarter. We estimate that resource earnings will be in the range of $20 million to $25 million for the fourth quarter. We expect the volume of lumber that we ship in the fourth quarter will be slightly lower than the volume we shipped in the third quarter, due largely to fewer operating days. We anticipate a modest seasonal decline in lumber prices. We estimate that wood products earnings will be slightly above the level realized by the business in the fourth quarter of 2013. We are not planning any large sales in real estate in the fourth quarter. We sold slightly more than 30,000 acres in the first three quarters and expect that we will end up in the range of 32,000 to 34,000 acres for the year. We estimate that land basis will be approximately 25% of revenue for the year. We expect to record acquisition-related expenses of approximately $500,000 in corporate and to incur interest expense on new debt at slightly more than $1 million in the fourth quarter. That concludes our prepared remarks. Brian, I would now like to open the call up to Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Mike Roxland from Bank of America.
Mike Roxland – Bank of America Merrill Lynch: Thanks very much, and good luck with the transaction. I just wanted to get a little bit more color on how the transaction actually came about. Was Resource Management actively shopping these acres? Did you approach the company? Can you just give us a little more color on how it's actually materialized?
Eric Cremers: Yeah, Michael, it's Eric Cremers. Yeah, RMS auctioned this property in the traditional two-step type of a process. They hired an investment bank in Wall Street and solicited bids, and you had this, you know, submit-your-first-round bid, and then you needed to clear that initial round to get on to round two. And we were successful in getting to round two at the end of the day.
Mike Roxland – Bank of America Merrill Lynch: Got it. And is there a thing particularly appealing about or unique to the timberland in Alabama and Mississippi? You know, is there a lot of housing growth in those areas? Are there active mills that surround the new acres that require a constant flow of wood? And really the reason I'm asking this question is that last quarter you highlighted that your southern saw log business in Arkansas was challenged given idled mills and relatively high inventories of deferred timber. I'm just wondering if, you know, whether those two states are somewhat immune to those issues that you're encountering in Arkansas.
Eric Cremers: You know, Michael, we do have issues in Arkansas with trying to get mills restarted and we're looking for demand to improve in Arkansas. The whole South has been impacted by the downturn in the real estate market, in the housing market. But mills are coming back up and capacity is being expanded throughout the region. Alabama in particular has got a robust saw log market and capacity there, demand there is expected to improve. It's in our wood basket - our new wood basket, it's going to improve from about 36 million tons per year being consumed today, it's about 38 million tons per year over the next couple of years. And similarly, in Mississippi, demand today is about 27 million tons per year and that's expected to grow to 30 million tons per year. And these are from projects that have already been announced, and it's not from any one sector. It's from lumber mills, OSB mills, private [ph] mills. It's all across the South. Fiber is available at reasonable prices throughout the South. So I don't know if that answers your question.
Mike Roxland – Bank of America Merrill Lynch: No, it does. I appreciate the color there, Eric. Just two quick questions and I'll turn it over. On average, you know, you paid over, as Mike mentioned over $1,900 an acre. Is there any HBU potential associated with some of the new acreage you acquired?
Eric Cremers: Yeah, absolutely. Like any large land purchase, you would expect there to be some acres that have got move value as HBU or real estate play than what the timberland is going to be worth just from a timber management value alone. And we estimate roughly 15,000 acres of HBU in total will get sold off of these properties over the coming years. It's not going to happen all at once, it will take time, but yes, there's very clearly an HBU opportunity here.
Mike Roxland – Bank of America Merrill Lynch: Got you. And then last question, can you just give us a rough sense of the EBITDA per acre of the new acreage? Are we talking about something that's in line with your current $25 per acre? Do you think that it's somewhat higher given the fact that you're dealing with areas that seem to be more in demand relative to what you have in Arkansas?
Eric Cremers: You know, that's -- that question is challenging to answer, Michael, simply because the harvest volume off of this property varies tremendously from year to year. The low point might be 500,000 tons per year and the high point might be up to 2 million tons per year. So it just depends on what that harvest profile looks like. So I'd hate to give you EBITDA guidance given how much variability there is in the harvest profile.
Mike Roxland – Bank of America Merrill Lynch: Got it. Well, congrats on the transaction, and good luck for the balance of the year.
Mike Covey: Thank you.
Operator: Our next question comes from the line of Gail Glazerman from UBS.
Gail Glazerman – UBS: Hi, good afternoon and congratulations on the deal. Just maybe a few more questions on the deal and then some on the markets. Is the average age class and mix, and I appreciate you'll give us more details next quarter, I mean, can you give a sense of how that compares to your Arkansas land?
Eric Cremers: Yeah. What I would tell you is it's a very evenly split age class spread across the spectrum of zero to traditional maximum age in the South, might be 30 or 35 years. This is pretty even-aged timberland, so it's pretty straightforward from that standpoint. As Mike indicated, it's fairly well-stocked. It's got over 10 million tons of timber on it. And it's, relatively speaking, it's traditional southern timberland. It's about 70% fine plantation, 25% hardwood. So, nothing unusual there. And it's been very well-managed, as Mike indicated, by RMS. They've chosen genetically improved seedlings and they've had a pretty aggressive fertilization program over the years. So it's good timberland.
Gail Glazerman – UBS: Okay. And just the mix between pulpwood and saw logs relative to the Arkansas land?
Eric Cremers: I think it's roughly half and half, Gail. It's, you know, it varies depending upon the particular age class, but it's more or less half and half.
Mike Covey: So, slightly more fickle [ph] than what we've experienced in Arkansas.
Gail Glazerman – UBS: Okay. And I guess your reference to pulp [ph] means, even they haven't participated in pulps [ph] to date, that that's something you might be able to participate on in the new land?
Eric Cremers: Yeah, there is a pulp mill that's anticipated to go up in the region.
Gail Glazerman – UBS: Okay. And just kind of looking at activity in your legacy properties, I think last quarter you talked about a potential of restart in Idaho, and if you could give an update there. And then maybe going into more detail in the comments you're giving to Mike, are you seeing any kind of signs of life around your property in Arkansas yet?
Eric Cremers: Yeah, we're, you know, we are seeing mill restarts in all of our operating areas, frankly. If you take a look at Idaho, a mill restarted in Clarkston which is right next to Lewiston, if you know the region. That mill is now up and running and it's consuming more or less 200,000 tons a year of saw logs. Our largest customer in Idaho just expanded their mill in Lewiston over this year and it's in the process of ramping up, consuming more logs. Another mill that we had not mentioned previously just started up down in Emmett, Idaho, so, towards the southern end of our ownership in Idaho, and it's going to consume, I don't know, 150,000, 200,000 tons a year as well. So we are seeing activity particular in Idaho. Down in Arkansas we've, you know, it was no word on the startup, although plywood markets remain pretty strong right now. So we're cautiously optimistic in that. And there is a mill in El Dorado that's rumored to be, you know, a lot of folks are kicking the tires, looking at that mill, thinking about starting it back up again. And it's been down for many years. So, yeah, we're seeing activity take place throughout the south and the north.
Gail Glazerman – UBS: Okay. And I guess you kind of referenced underlying southern saw log versus still pretty flat. Are you starting to see any of the [indiscernible] in other parts of the South creep in at all or is it really just, you know [indiscernible]?
Eric Cremers: I'm not sure we understood the very last part of the question.
Gail Glazerman – UBS: Just any signs on life in saw log pricing in Arkansas, or for that matter, I guess for Mississippi and Alabama around the new properties. Because I know it's very isolated. What trends have been there?
Eric Cremers: Yeah, certainly in saw log pricing in Arkansas, hardwood prices have really taken off nicely. They reached prices as high as 90 bucks a ton here recently, which is really high for hardwood. On the southern, you know, pine side of things, things are relatively flat, but there are places throughout the South where it looks like prices have bottomed, maybe they're coming up a buck or two. Frankly for this acquisition, of this timberland we're making, we didn't model in an increase really for next year. Our view is it's going to take roughly a year to -- for markets to consolidate, and then we think we'll start to see prices move higher.
Gail Glazerman – UBS: Okay. Then just one last question. Can you give a little bit of color on harvest breakdown that you're expecting for the fourth quarter between the South and North and between pulpwood and saw logs?
Jerry Richards: Yeah, Gail, this is Jerry Richards, I'll take that one. So the starting point to help you is the harvest profile this fourth quarter actually looks quite a bit like the harvest profile. Volumes are mixed, and roughly it's going to be about 60% in Idaho, 40% down in Arkansas.
Gail Glazerman – UBS: Okay. And just actually one last question, that brings up one thing. Volumes were a little lighter than I was expecting in the quarter. To what extent was weather is the key driver of that versus market?
Jerry Richards: Yeah, Gail, that was -- yeah, we probably missed our volume targets by 100,000, 150,000 tons in the quarter. And that was primarily due to wet weather down in the South. And that -- some of that volume is now going to -- will be [indiscernible] in the fourth quarter.
Gail Glazerman – UBS: Okay. Thanks very much.
Mike Covey: You too.
Operator: And our next question comes from the line of Paul Quinn from RBC Capital Markets.
Paul Quinn – RBC Capital Markets: Yeah, thanks very much, and congratulations on the acquisition. Just a couple of questions on that. I know that RMS property comes with some timber supply obligations. Maybe you could give us some background on what those are, the length and the percentage that's covered in terms of the harvest.
Eric Cremers: Yeah, there are some supply agreements that come with those properties. I won't get into the details of the supply agreements, but it's roughly 350,000 tons per year of pulpwood and roughly 50,000 tons per year of saw logs.
Mike Covey: For the next few years.
Eric Cremers: Yeah, for the next few years. The pulpwood contract drags out farther than the saw log contract. And all of the mills that are under these contracts, you know, we spent a lot of time looking into them, they're all first and second quartile mills, so they're very competitive mills.
Paul Quinn – RBC Capital Markets: Okay. And my understanding, that's a volume commitment but pricing is off what?
Eric Cremers: Yeah, it's off of local market data in the particular wood basket, and it's adjusted on a quarterly basis.
Paul Quinn – RBC Capital Markets: Okay. And then just taking a look at -- I mean I saw the timber prices up for southern yellow pine saw logs down 0.5% quarter over quarter. I mean, really kind of flattish, you know, down slightly. But it's surprising to me because we had very robust southern yellow pine lumber prices in the quarter. How do you see that disconnect playing forward? Is that just because of the oversupply of logs down there?
Eric Cremers: Yeah, I think -- I mean that's pretty much what it is. You had so much deferred harvest in the downturn and now you're seeing a lot of capacity come back online. If you look at the eastern Alabama, the market there has pretty much fully recovered to pre-recession levels. Western -- or excuse me, western Alabama is still going a little bit behind, but the, you know, you're seeing capacity come back as time goes on, and that's -- ultimately that scale is going to tip and it'll push prices higher.
Paul Quinn – RBC Capital Markets: Okay. And then just one thing I couldn't understand. You described as pretty even age management, but then the harvest has been very variable from 500,000 to 2 million tons per year. Why is that?
Eric Cremers: It's just whatever is coming of age that particular year and whatever our price forecast is, I mean those are the two ingredients that go into harvest schedule model, and I can't get into the details in any particular year, but it's just what drives it.
Mike Covey: And Paul, I think at this point we just try to give some bookends between 500,000 and 1.5 million tons in terms of, you know, just to kind of give you some scope of what it might be. And I expect that as we begin to manage the property and give guidance in the first quarter call in January, that we'll narrow that quite a bit from where we're at today.
Paul Quinn – RBC Capital Markets: Okay. And then just lastly, the RMS, this timber was up for sale very well-known out there. I think RESEED [ph] reported that the stuff in Alabama is probably worth 400 to 500 bucks an acre more than Mississippi. Do you sort of see that? Is there a difference in stocking level growth rates in that and more competitive timber market?
Mike Covey: Well, the stocking level on both properties, the site [ph] index on both properties, almost all aspects of the productivity of the land is very similar in both states. And any reflection of valuation would have to do with the market more than the stocking of the timberland.
Eric Cremers: Paul, I think if you talk to consultants that cover the industry, most of them would say, if you're going to put up a new sawmill in the South, Mississippi is probably the go-to state in the South because of the fundamentally slightly lower saw log prices that you're buying there.
Paul Quinn – RBC Capital Markets: So you're saying Arkansas is not the go-to state now.
Eric Cremers: Well, it's not far from --
Paul Quinn – RBC Capital Markets: No, fair enough. Congratulations again. Best of luck.
Mike Covey: Thanks.
Operator: Our next question comes from the line of Chip Dillion from Vertical Research.
Chip Dillion – Vertical Research: Hi there. Good evening.
Eric Cremers: Hi, Chip.
Chip Dillion – Vertical Research: Congrats on the acquisition. When you look at the EBITDA accretive comment, I mean I'm guessing, if we apply like the 3% interest rate on the incremental $384 million, we're going to get about, if I do my math here, about $11 million to $12 million of interest expense. So I would guess, for that to be accretive, you've got to get $12 million or more of EBITDA. And I just didn't know kind of what harvest levels that would be consistent with, so we can get some sensitivity about where breakeven is on a harvest basis. And look, I know prices can move around, but -- and mix. But looking at the fact that it's heavily pulpwood, what kind of harvest level would that kind of $12 million number be consistent with?
Mike Covey: Well, a couple of things, Chip. It's $310 million of incremental debt, not $384 million.
Chip Dillion – Vertical Research: Okay, fair enough.
Mike Covey: Just to clarify that, that we plan to use about $75 million in cash. We're not going to give harvest level guidance until we get through our budgeting process at the start of the year, and we'll provide that on the first quarter call. But I think to reiterate the point that we made, is we feel this is accretive on an FAD basis, and certainly we are gearing [ph] for incremental interest expense, but we think that at the end of the day there's still cash left over to help support the dividend that we have and to grow it more over time.
Chip Dillion – Vertical Research: Okay. And when you look at your -- the legacy lands, do you think, will there be any change in sort of the way you'll harvest those lands based on this acquisition? And maybe, are there any synergy potential? Is there any synergy potential? I know we don't usually look for those, especially when you're buying land in a new area, but could you address those points?
Eric Cremers: Chip, this is really -- Arkansas is really a separate wood basket entirely from Mississippi or Alabama, so our harvest scheduling that we run in that region will be independent from the work that we're doing over in Alabama and Mississippi. So it's really a separate decision. So on the second question of, are there synergies? We've got a very solid leadership team down in Arkansas today. That leadership team is going to oversee these new properties. And that same southern resource manager that's running our Arkansas property has got extensive experience, particularly in Mississippi. And so incrementally we only have to add a couple of people to integrate these timberlands. We know the markets, we know the customers, so I think from that standpoint it'll be pretty straightforward.
Mike Covey: We deal with Georgia Pacific Warehouser and West Fraser today in Arkansas, and those are some of the large customers that we'll have in Alabama and Mississippi as well.
Chip Dillion – Vertical Research: Got you. And I know you don't typically separate your income by region and I know you're, mostly, when I look, especially in this last quarter, but most quarters you're overwhelmingly harvesting in Idaho, but if you took sort of your average I guess EBITDA per ton in Idaho, is it fair to compare how these lands might look in terms of the harvest, or is it just too much of an apples and oranges situation, in terms of looking at the profit or the EBITDA per ton?
Eric Cremers: Yeah, I mean they're dramatically different market shift. As you know, the market up here in Idaho is heavily influenced by what goes on over in China. And so log prices have been bid up and margins are stronger, up here in Idaho. The South doesn't have the opportunity to get logs to China today in a meaningful way. People have been experimenting with it, but not in significant volumes. So, margins are significantly different in Idaho versus the South.
Chip Dillion – Vertical Research: Okay. I guess the last one is, it looks like you're paying about $1,900 an acre, and what's obviously a challenge for us is when IP sold these lands eight years ago, it looks like they were part of a much larger packets that went for about $1,200 a ton. So it looks like there's been some appreciation, but I know I'm not looking at apples and oranges. And I don't know if you had any comment or knew what some of the other RMS lands were in comparison to what you're buying now.
Eric Cremers: I can't comment on that. One thing to keep in mind though, Chip, is that cap rates have dropped dramatically over that same timeframe, and [indiscernible] for saw logs is pretty robust right now.
Chip Dillion – Vertical Research: Okay. And then this might have been in the slide, but what term of debt are you kind of anticipating in terms of how -- I guess it's 2024 is where most of the debt is going to be coming due?
Jerry Richards: Yeah. So, Chip, I'll take that. It's Jerry Richards. So the term of the debt will range from five years to ten years, and we do have a schedule on the slide that kind of lays out the maturities by year. The first three tranches, starting with five-year we expect to be variable rate, and then fixed rate for the last three tranches of that debt.
Chip Dillion – Vertical Research: I got it.
Jerry Richards: And the total -- of the total 310, about 110 is coming due in 2024.
Chip Dillion – Vertical Research: Okay. And when you -- it looks like, given the guidance, you have some idea of when this is going to close. I mean is your best guess like end of November? Do you have a sort of a point in time estimate?
Jerry Richards: Yeah, it'll be late -- mid to late November, Chip, that's our guess.
Chip Dillion – Vertical Research: Okay. All right. I hope it doesn't interfere with Thanksgiving. Thank you.
Mike Covey: Thanks.
Operator: And our next question comes from the line of Mark Weintraub from Buckingham Research.
Mark Weintraub – Buckingham Research: Thank you. Some questions just also on the acquisition. First off, I guess I recognize it could vary from 500,000 to 1.5 million in terms of the harvest. But is it fair if we look at the 10 million tons of merchantable inventory and assume kind of 6% to 7% growth rate that's the sustainable harvest level might be kind of in that 700,000 ton level? Is that a fair way to look at it?
Mike Covey: Yeah, that's probably a decent starting point, sure.
Mark Weintraub – Buckingham Research: And then I just wanted to clarify, at one point I thought you said that it was about half pulpwood, half saw timber, then there were a few other comments about it being heavily tilted to pulpwood, and certainly you talked about the supply agreement in place which was certainly more pulpwood at this point. Just to clarify, is it about half and half order of magnitude?
Eric Cremers: The different reasons are driven by different types of logs. In Alabama it's more of a pulpwood market and Mississippi is more of a saw log market. I think the way to think of it is it's roughly 350,000 tons of pulpwood supply in Mississippi and that's covered by a supply agreement, and then there's other pulpwood supply coming out of Mississippi and Alabama combined from 350, excuse me, and roughly 50,000 tons is saw log driven by a mill in Alabama, the customer in Alabama.
Mark Weintraub – Buckingham Research: Okay. And presumably though -- okay, so that's 400,000 tons. And so it's --
Eric Cremers: Correct, total 400 covered by supply agreement.
Mark Weintraub – Buckingham Research: Right. And so there's another 300, let's say on average it's not -- and that's primarily saw timber?
Mike Covey: We haven't given guidance on that, Mark. We're not going to step through the math.
Mark Weintraub – Buckingham Research: Okay. I guess I'm just trying to clarify, I thought early on you said it was roughly half and half pulpwood/saw timber. Did I mishear on that?
Eric Cremers: No. That's the inventory that we're getting today, is roughly half and half. But that's -- I mean in any given year, I mean volume bounces around a lot. I mean --
Mark Weintraub – Buckingham Research: Understood.
Eric Cremers: One year we got a million tons of saw log coming off this property, another year we got 200,000 tons coming off this property.
Mark Weintraub – Buckingham Research: Understood. That's helpful, thank you. And then I guess just as I'm trying to understand a way to frame it, is basically at current pricing and sort of the middle range of the harvest expectations, is it modestly FAD accretive, and then you have all the optionality to the upside from an FAD accretion perspective? Is that one way to think of it? And then just supplemented with -- recognizing that it's cash that count, but how earnings dilutive at current pricing and the same types of assumptions that you're drawing when you talk about it being FAD accretive might it be as we think about modeling for next year?
Jerry Richards: Hey, Mark, it's Jerry Richards. So in terms of your first question, I think you have fairly characterized, when you say modestly accretive, the optionality for the upside, you saw log prices recover. I think that's fair. And in terms of EPS dilution, there is EPS dilution, primarily because we're going to mark these trees [ph] to market and depletion expense will go up, obviously a non-cash expense. But in terms of that 1.5 million I put in the script, that's for, as we've said here, in terms of the incremental depletion for the fourth quarter, that's probably a good starting point in terms of giving you a feel for that run rate.
Mark Weintraub – Buckingham Research: Okay, that's helpful. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Steve Chercover from D.A. Davidson.
Steve Chercover – D.A. Davidson: Thanks. Good afternoon everyone. I'm afraid I'm going to keep on harping on the new acquisition, but we're glad to see you growing. Beyond the bolt-on opportunities in Alabama and Mississippi, are you still, you know, have financial flexibility that you could do something material?
Jerry Richards: Yeah, Steve, this is Jerry Richards. I mean certainly when you look at our balance sheet, we work hard over the years to delever and put ourselves in a position to do an acquisition of size, and this clearly fits that mode. Going forward we have, certainly when we think about financing or accommodating future acquisitions, we have flexibility and options to allow us to continue to consider transactions.
Steve Chercover – D.A. Davidson: Great. And then the mix, as you said, 70% pine and 28% hardwood. Over time, do you think you can increase the mix to more pine plantation or is the site classed -- that 28% -- like bottom land [ph], it's always going to be suited for hardwood?
Eric Cremers: Well, that 25% is hardwood and it's natural pine. And we will convert some of that 25%, my guess is over time another 5% or 10% will get converted over to pine plantation.
Steve Chercover – D.A. Davidson: Okay. And then switching gears. Plywood remains a real bright spot in the wood products ecosystem. Do you see that being sustainable into 2015?
Eric Cremers: I just came from the RESEED [ph] conference, Steve, and RESEED [ph] was -- spent some time talking about plywood. And yes, I think plywood for a number of years always been we're-stealing-share-from-plywood, but it now looks like plywood market had bottomed and they're working their way higher again. So yeah, we're optimistic about where plywood's headed.
Steve Chercover – D.A. Davidson: That's great. Since I wasn't at RESEED [ph], can you just tell me, do they give a point estimate for housing starts in 2015?
Eric Cremers: Yeah, I think they're at 1.37. And I think they just took the number down, I saw this morning, down to 1.3 million starts for next year. They're kind of at the high end of housing starts expectations, but their view is that over the past couple of years we have seen housing starts move higher in spite of all the excess inventory that has been out there and has been dumped on the market. So a lot of that inventory has now cleared and the fundamental supply and demand factors are coming into play, you don't have this excess inventory overhang. And therefore they believe housing starts are going to move higher next year.
Steve Chercover – D.A. Davidson: Sounds like kind of a carbon copy of the script from last year, when people used a grain of salt on that. Thank you.
Eric Cremers: They're at the high end.
Operator: [Operator Instructions] And we have no further questions at this time.
Jerry Richards: All right. Thank you for your interest in Potlatch. This is Jerry. I'm going to be heading back to my desk and look forward to your questions.
Mike Covey: Thank you.